Operator: I would now like to turn the call over to Susan Spivak Bernstein, Senior Vice President of Investor Relations. Thank you. Please go ahead. Good morning, and thank you for joining us today for our first quarter 2025 earnings call and webcast. Yesterday, we reported results and posted all earnings-related materials on our website. Before we begin, please note that our presentation includes forward-looking statements which are not guarantees of future performance and may differ materially from actual results. We do not assume any obligation to update these statements. Investors should consider the risks and uncertainties detailed in our recent SEC filings, news release, and financial supplement, which are available on the Investor Relations section of thehardware.com. Our commentary includes non-GAAP financial measures, with explanations and GAAP reconciliations available in our recent SEC filings, news release, and financial supplement. And now I'd like to introduce our speakers. Christopher J. Swift, Chairman and Chief Executive Officer, and Beth Costello, Chief Financial Officer. After their remarks, we will take your questions assisted by several members of our management team. And now I'll turn the call over to Chris. Good morning, and thank you for joining us today.
Christopher J. Swift: The Hartford Financial Services Group, Inc. is off to a strong start in Q1 2025, sustaining the momentum we have built over the past few years. Before I get into the details, let me take a moment to comment upon the macroeconomic environment. We are operating in dynamic times. However, as an underwriting-centric organization specializing in managing risk, we are well equipped to navigate this evolving environment. Our teams are closely monitoring trends and are already taking action to address the impacts of this complex and dynamic policy landscape. With solid fundamentals, a durable investment portfolio, and a balance sheet that is stronger than ever, we remain steadfast in our commitment to delivering strong returns for our shareholders. Now let's transition to first-quarter results. As I mentioned, The Hartford Financial Services Group, Inc. had a strong start to the year, even in the face of the most destructive wildfires in US history. Disciplined underwriting and pricing execution, exceptional talent, and innovative customer-centric technology continue to drive our performance. Highlights from the first quarter include top-line growth in business insurance of 10% with a very strong underlying combined ratio of 88.4. An underlying combined ratio of 89.7 in personal insurance representing a 6.4 improvement over the prior year, including over eight points in auto. A core earnings margin of 7.6% in employee benefits, which continued to outperform in a competitive environment. And continued solid performance in our investment portfolio. All these items contributed to a trailing twelve-month core earnings ROE of 16.2%. As I dive into the details, let me start with PNC current accident year catastrophe losses which totaled $467 million before tax, including $325 million related to the January California wildfires. Catastrophe risk management strategies and reinsurance structure effectively contained exposure, keeping it well within our market share. While we are pleased with the performance of our overall book of business and risk management program, the losses were significant to first-quarter results. In times like these, I'm especially proud of The Hartford Financial Services Group, Inc.'s claim handlers, adjusters, and leaders. Excluding catastrophe losses, our businesses sustained strong performance in line with or exceeding expectations. Turning to business insurance, results were excellent driven by our industry-leading underwriting tools, pricing expertise, and data science advancements. New business growth remains strong within small middle market where the environment continues to be conducive for growth. As the leading small business carrier, our digital capabilities offer exceptional functionality and ease of use, providing us with a significant competitive advantage in the market. We have successfully leveraged these strengths to enhance the middle market and global specialty businesses. We are going to market as one unified organization to serve the diverse needs of customers and partners with a consistent and top-tier experience. In small business, first-quarter financial performance was excellent with record-breaking quarterly written premium, and double-digit new business growth while extending a nineteen-quarter trend of sub-ninety underlying combined ratios. New business growth was driven in part by strong quote flow and modestly higher average premium, as well as a 29% increase in E and S binding premium, a business where we continue to see tremendous opportunity. In short, small business continues to deliver excellent results with industry-leading products and digital capabilities. We are on track to surpass $6 billion in annual written premium in 2025. Moving to middle and large, we are pleased with first-quarter performance including excellent top-line growth, paired with a strong underlying margin in line with our expectations. New business growth remained strong with contributions from multiple lines and market sectors. We continue to take advantage of healthy submissions driven in part by investments made to expand product capabilities and the efficiency of the broker and agent experience. Written premium growth reflects strong renewal rate execution across most lines including double-digit increases in liability and auto. Shifting to global specialty, results were outstanding, sustained underlying margins in the mid-80s and over $1 billion in quarterly written premium. This impressive top-line performance reflects our strong competitive position, diverse product offerings, and solid renewal written pricing including double-digit pricing in wholesale casualty. Our wholesale business saw an 11% increase in gross written premium with significant contributions from US inland marine, auto, and casualty lines, and the global reinsurance business also grew at a double-digit clip. With a diverse product set, in a generally healthy pricing environment, we remain excited about the growth prospects in global specialty. Across business insurance, combined emphasis on property expansion has resulted in written premium growth of approximately 15% this quarter. We are capitalizing on the favorable market conditions in the SME space with a disciplined approach and no change in our catastrophe risk appetite. As for pricing, business insurance, renewal written pricing, excluding workers' compensation, of 9.9% increased 20 basis points from the fourth quarter. Our pricing execution remained strong including low double-digit increases in general liability and auto, with liability pricing continuing to rise. The team hit the ground running on one-one renewals exceeding liability pricing targets which are comfortably above loss cost trends. In business insurance property, pricing remains healthy in the low double digits driven by 18% pricing increases within our small business package product. In personal insurance, margins continue to improve achieving an underlying combined ratio in the 80s for the first time in three years. We expect target profitability in auto by mid-2025 consistent with our expectations. Having navigated a challenging loss cost environment, personal insurance is now focused on balancing profitability and a pivot to growth in a competitive environment. Our homeowners business had a strong underlying quarter highlighted by a mid-seventies underlying combined ratio. Renewal written pricing of 12.3% driven by net rate and insured value increases continues to support healthy margins while reinforcing our strong position in the market. Moving on to employee benefits. Core earnings margin of 7.6% exceeded prior year by 1.5 points surpassing our long-term target of 6% to 7%. Group life and disability both delivered excellent results. The disability loss ratio reflected nearly 20 points of improvement in paid family and medical leave products and the life loss ratio continued to improve. Modest fully insured ongoing premium growth reflects the competitive environment and strong book persistency which is above 90%. Sales were largely in line with expectations for the quarter. Want to take a moment to highlight ongoing technology investments in employee benefits, focused on superior customer experience and enabling growth. In absence and disability, we recently launched our patented leave lens platform empowering employees to confidently plan for their leave of absence through a comprehensive view of their benefits, available time, and prospective pay while away from work. We also recently delivered a new absence dashboard tool which gives employers dynamic reporting capabilities regarding their employees' leaves of absence. These market differentiating tools in conjunction with recent investments in life claim digital intake provide a holistic suite of new digital capabilities for customers. Additionally, we continue to focus on enhancing data exchanges and integration connections with benefit administration and human resource platforms to drive future growth. We now have over 60 integrations with HR technology partners servicing over two-thirds of our book. And we continue to build our leadership position in this space. For example, we have deepened our partnership with Workday to co-design their new Workday wellness platform which will deliver faster integrations, comprehensive implementation support, and real-time data exchange. With these capabilities and continued investment in the benefits business, we expect to retain our number one disability position and our top five life position while delivering an outstanding user experience for customers and their employees. Moving to investments, the portfolio continues to support The Hartford Financial Services Group, Inc.'s financial strategic goals performing well across a range of asset classes and market conditions. Beth will provide more details on the performance in the quarter. Alongside strong financial results, the first quarter also marked the launch of our new brand. As we further establish ourselves as an innovative and growth-oriented industry leader, our strategy is intentionally centered on customers and their evolving needs. The new brand celebrates The Hartford Financial Services Group, Inc.'s strengths built on centuries of trust from businesses, workers, and individuals we support every day. As CEO, I remain honored to lead a company with such a rich legacy and bright future driven by exceptional employees and their unwavering commitment to our customers. Looking ahead, we are expanding digital capabilities leveraging AI, enhancing our product offering, and entering new markets to better serve customers. All these factors contribute to my excitement and confidence about the future of The Hartford Financial Services Group, Inc. as we continue delivering industry-leading financial performance. It is an exciting time at The Hartford Financial Services Group, Inc. for our employees, customers, distribution partners, and all stakeholders. Together, we will navigate this dynamic environment and seize the opportunities ahead. Now, I'll turn the call over to Beth to provide more detailed commentary on the quarter.
Beth Costello: Thank you, Chris. Core earnings for the quarter were $639 million or $2.2 per diluted share with a trailing twelve-month core earnings ROE of 16.2%. Although results were impacted by elevated catastrophe activity, including the January California wildfire event, underlying PNC results and employee benefits results were excellent. In business insurance, core earnings were $471 million with written premium growth of 10% and an underlying combined ratio of 88.4. Small business continues to deliver industry-leading results with written premium growth of 9%, double-digit new business growth, and an underlying combined ratio of 89.4. Middle and large business had another quarter of solid profitability with an underlying combined ratio of 90.6 and written premium growth of 9% including record quarterly new business of $188 million. Global Specialty's first quarter was outstanding, with an underlying combined ratio of 84 and a record first-quarter written premium of $1 billion. Written premium growth of 11% in the quarter reflects strong growth across much of the book and solid renewal execution, including written pricing increases of 6.2%. In personal insurance, core earnings for the quarter were $6 million with an underlying combined ratio of 89.7 driven by an improvement of 8.1 points in the underlying loss and loss adjustment expense ratio over the prior year. The first-quarter auto underlying combined ratio of 96.1% improved 8.3 points from the 2024 period, and homeowners produced a strong underlying combined ratio of 75.1. Written premium in personal insurance increased 8% in the first quarter in part driven by steady and successful rate actions. In auto, we achieved written pricing increases of 15.8% and earned pricing increases of 20%. In homeowners, written pricing increases were 12.3% and 14.4% on an earned basis. Additionally, new business growth continues to be robust in both homeowners and auto. Homeowners policy count continued to grow while auto decreased as expected. Effective policy count retention for both homeowners and auto remained flat due to strong but moderating renewal written pricing increases. The personal insurance first-quarter expense ratio of 27 increased from the prior year by 1.7 points, primarily driven by higher direct marketing costs, and to a lesser extent, a higher commission ratio, partially offset by the impact of higher earned premium. Respect to catastrophes, PNC current accident year losses were $467 million before tax or 11.1 combined ratio points including $325 million net of reinsurance, related to the January California wildfire event as well as tornado, wind, and hail events primarily in the Midwest and South regions in the month of March. We are pleased with our robust and comprehensive reinsurance program on both a per occurrence and aggregate basis. As a reminder, the aggregate treaty provides $200 million of coverage when subject losses and expenses exceed $750 million. Total PNC net favorable prior year development within core earnings was $90 million before tax primarily due to reserve reductions in workers' compensation, homeowners, and personal auto. There were no increases in prior year reserves for general liability and commercial auto. The actions we took in the fourth quarter of 2024 positioned us well for 2025, both in terms of the overall adequacy of our general liability and commercial auto reserve and equally important, incorporating these trends into our pricing models. We recorded $32 million before tax of deferred gain amortization related to the Navigators ADC which positively impacted net income with no impact on core earnings. Based on our estimate of payment patterns, we expect the remaining balance of $32 million to be amortized in the second quarter. Moving to employee benefits, we achieved core earnings of $130 million for the quarter. The core earnings margin of 7.6% reflects excellent group life and disability performance. The group disability loss ratio of 69 improved from 70.1 in the first quarter of 2024, driven by improvement in the paid family and medical leave product loss ratio and continued strong claim recovery. The improvement was partially offset by a slight increase in long-term disability incidents compared to the prior year. However, incidence rates remain favorable to long-term historical averages and to our expectations. The group life loss ratio of 79.9 for the quarter improved 2.7 points reflecting lower mortality. Fully insured ongoing sales in the quarter of $381 million combined with increased exposure on existing accounts and excellent persistency above 90% resulted in a 2% growth in fully insured ongoing premium. For the quarter, net investment income was $656 million. The total annualized portfolio yield excluding limited partnerships was 4.4% before tax, 10 basis points above the year-ago period, and 20 basis points below the fourth quarter. The decline from the fourth quarter was primarily due to lower equity dividends, lower returns on public equity-related fund investments, and a modestly lower yield on variable rate securities. Our first-quarter annualized LP return of 3.1% before tax was higher than the year-ago period although returns were lower than the fourth quarter including lower returns in our real estate portfolio and other funds. We continue to strategically manage the portfolio balancing risk while pursuing accretive trading opportunities and in the quarter reinvested at 70 basis points above the sales and maturity yield. Full-year 2025 net investment income excluding LPs is expected to be higher than in 2024 driven by invested asset growth. We expect the 2025 yield XLPs to be generally in line with the yield earned in 2024 as lower yields on variable rate securities are expected to offset increases from reinvesting at higher rates. Turning to capital management. Holding company resources totaled $1.3 billion at quarter-end. During the quarter, we repurchased 3.5 million shares under our share repurchase program for $400 million and we expect to remain at that level of repurchase in the second quarter. As of March 31, we had $2.75 billion remaining on our share repurchase authorization through December 31, 2026. In summary, we are very pleased with our strong financial performance for the first quarter and believe we are well-positioned to continue to enhance value for our stakeholders. I will now turn the call back to Kate. Thank you, Beth. We will now take your questions. Operator, please repeat the instructions for asking a question.
Operator: As a reminder, to ask a question, please press star followed by the number one on your telephone keypad. In the interest of time, we ask that you please limit yourself to one question and one follow-up. Thank you. Our first question will come from Gregory Peters from Raymond James. Great. Good morning, everyone.
Gregory Peters: So the first question I'm gonna ask, as competitive market conditions, in the business insurance segment. Looking at your statistical supplement, it looks like new business both in small and middle market. Was up nicely in the quarter.
Christopher J. Swift: Retention dropped a little bit. So just curious how you are looking at your position in the marketplace. And your outlook for growth.
Morris Tooker: Greg, thanks for joining us today. You are right. We're proud of all our business segments, whether it be small, middle, global specialty, and they're all performing I think, exceptionally well. I'm just gonna ask Moe to just comment specifically on retention. Yeah. Greg, what you're seeing in the IFS is really just a reminder, it's for our guaranteed cost lines in middle and large. And what we are feeling in the quarter, and we've talked about it in prior quarters, was pressure on the workers' compensation specifically. I'm really proud of how the teams navigated. They're just making choices on renewals, but overall, we just feel like this is a competitive market in middle and large. And also what you saw in the quarter was really nice growth overall with a 9% in middle and large. I think what you're feeling is we have the diversification that we've built over in the past decade in middle and large so that when retention is down in workers' comp and workers' comp is really competitive, we have the ability to grow in other areas and still maintain the top line that we're chasing.
Gregory Peters: Good. Thanks for the detail. I guess, you know, in part of your opening comments, you talked about technology. You talked about the digital integration or data integration with Workday. You talked about digital. You know, one of your peers came out with a pretty robust technology presentation as part of their investor day. Several weeks ago. And so I'm just curious about how you're looking at your technology progress and, you know, help us on the outside sort of reconcile what, you know, what's legacy maintenance stuff versus new initiatives that are game-changing?
Christopher J. Swift: Yeah. Happy to, you know, try. I mean, that's probably like a four-hour discussion, Greg. But you know, what I would, you know, just share with you, and I think we've said it consistently before, is, you know, we've been on a journey over the last ten fifteen years of just making basic improvements into our core platforms. And our core platforms in all businesses. And those platforms would be defined as claim systems administrative systems, billing, and remittance, you know, type systems. And then, you know, recently, you know, we've launched a multiyear project, a seven-year project to take all our data and applications, you know, to the cloud. So I think personally, we have the best platform in all our businesses. For personal lines, we have a modern SaaS-based, you know, platform group benefits. We've modernized all our platforms there and taking that to the cloud and Guidewire continues to be our preferred vendor both for administration in commercial insurance as well as you know, claims. So and we spent a lot of money you know, doing that thoughtfully. But, you know, we knew we needed to do it to really have the flexibility in our products and to ultimately drive down our cost. I think what we've been doing of late and of latest, let's say, over more of the last, you know, five, six years is really organizing our data more effectively. We've had more consumer customer-centric digital capabilities. I mentioned all the things that we were doing in group benefits because sometimes there's a little bit of misinformation out there that I felt needed to be corrected. And so, yeah, again, we're investing in our customer experience. We've invested in core capabilities and benefits. And then you know, of late, you know, everyone's been talking about AI. And I'm not gonna talk about it in great detail, but we got three main areas we're focused on, claims, underwriting, and operations. And we will lead the AI implementation for the industry. And all I'd ask you to do is just stay tuned.
Gregory Peters: Makes sense. Thanks for the answers.
Operator: Our next question comes from Brian Meredith from UBS. Please go ahead. Your line is open.
Brian Meredith: A couple from here for you. First, Chris, Moe, could you talk a little bit about what tariffs could potentially mean for lost costs as you think about it in auto insurance and any area in commercial insurance you're thinking about? I'd be happy to try. Brian. You know, but as you know, I mean, as I said in my prepared remarks, a fairly, you know, dynamic environment and there's a lot of unknowns and uncertainties. So if you take that as sort of the foundation to my comments, you know, I think you know, what our views right now are, you know, that the tariffs probably will affect, you know, the price. Of automobiles, parts, building materials, supplies. And if you think about it, and others have commented upon it, that that should be a one-time event. Know, that sort of step change and then a normal trend would hopefully, you know, continue, you know, from there. I think in personal and commercial auto, I believe our loss picks for Q1 2025 were prudent. You know, which meant we have a level of, you know, conservatism in there. That will hopefully allow us the opportunity to minimize any tariff-related increases most likely in the second half of the year. As it relates to home and commercial property, all I would say is I think our reaction function there is tight and we can react timely. And, you know, obviously make any adjustments in our pricing, particularly in those, you know, products. I think, you know, equally in our personal auto liability, I think, you know, we've worked on our rate filings. Know how to file rates. But more importantly, you know, we've worked on our reaction time there to sort of have a faster cycle time. And I've we've talked about it in the past. I think about 45% of our states, you know, that we operate in require prior approval, but 55% don't. So we can, you know, react in due course once we know what's gonna happen and, obviously, some of the data and the inflationary pressures, you know, start to show up in our data that the regulators expect to see. So I think overall, you know, we're well-positioned to navigate. This isn't you know, anything, you know, terribly new as far as monitoring loss cost trends. But it is an emerging policy tariff environment, so it is somewhat unique in that respect. Think that's what I would say, Brian.
Brian Meredith: Terrific. That was great. And then just one really quick one here. Renewal written price increases in small business, they jump around a little bit. But we saw it go from 7.4% to 6.2%. Is that a mix issue? Or is there something else going there? Yeah. I think I might ask Moe to comment, but that's mostly comp. You know, that's more heavily weighted in the first quarter, but well, you know, ex comp, you know, small business I think, was up pricing was up 12 to 12.9%. So it's still very, very robust, Brian, but little sequentially down due to comp, I think, Moe.
Morris Tooker: Yeah. The only other impact in there, Brian, was our ENS binding was marginally down. Everything else is really strong. The BOP is really strong. Auto is really strong. So we're really optimistic about the pricing that we're feeling in small business in general. Managing comp tightly, and I think you'll see in our numbers really strong growth in the E and S binding. We feel like that's in a really healthy place and we'll continue to push into that space.
Brian Meredith: Terrific. Thank you.
Operator: Our next question comes from Andrew Kligerman from TD Securities. Please go ahead. Your line is open.
Andrew Kligerman: Hey. Thanks, and good morning. Maybe just following up on Brian's question with respect to the pricing. As I look at the underlying combined in business insurance, it you know, an outstanding 88.4% underlying combined. It looked like the mid-large kind of sort of let the combined go up by 1.4 points, and then it was helped by small and specialty. Maybe elaborate a little more on the pricing environment. Do you see more pressure in mid and large going forward? And you know, given the resilience you just touched on with small mid and specialty, you know, that remains strong and then net net, are you confident in your underlying combined kinda holding in this vicinity going forward. So you know, maybe a little more on pricing and how it's both areas. And then secondly, how's it gonna hold up over time with this underlying combined? Yeah. I would say, Andrew, first, thanks for joining us. Yeah, what we talked about last quarter and what our objectives were for 2025, I remain highly confident in achieving, you know, the goals that we set out was basically sort of consistent underlying, you know, combined ratios in business insurance between years. Obviously, improvement in personal auto and then in group benefits, we were really focused on you know, getting additional rate into the paid family leave, you know, products that you see the results this quarter. So I'm gonna give you just a couple little high-level comments, and I'm just gonna ask Moe to add anything on business insurance and then Mike Fish anything on you know, group benefits. But the SME space, which broadly defined, you know, I think we're the industry leader. Continues to hold up, you know, very well. If you look at our overall price increase ex comp because comp's got its own dynamics. You know, we increased it 20 basis points to nine nine. And even if I look at know, property, you know, within the SME space, you know, we're up, you know, 18 in property pricing. Overall, GL, including excess and umbrella lines are achieved a 10.5% increase this quarter. I gave you sort of an ex comp small business pricing number that's up, you know, 12.9%. Feel really good about global specialty, you know, up 6.2 in pricing. So giving you just some highlights, you know, to sort of demonstrate, you that we're executing well. The SME market, even in the aspects of global specialty where we play. Is holding up better. It tends to be the more profitable segment, you know, that, you know, we are, you know, one of the leaders in. So Moe, what would you add? And then, Mike Fish, I'll ask you to add some. That was a fulsome response. The only thing I would add, Andrew, is it's a competitive market, we talk about it from quarter to quarter. But we are the underwriters to really right to make the right choices. And I think we again, felt the middle team being really, I think, really strong on the decisions they were making on workers' comp I think we've pointed to our specialty team making the strong decisions on public D and O. That book is less than a hundred million dollars. So they have managed that down. So think where the pricing is not holding up to what we do, our underwriters are making the right choices. I'm really proud of the way they're executing. I think what we're moving into is an underwriter's market where as the market moves and maybe moves a little bit more dynamically, the best underwriters will win, and we hope to be in that population that will continue to outperform.
Mike Fish: Hey, Andrew. This is Mike. I would just, maybe add a couple of comments on the benefits side. So overall, we feel really good about where we're writing business both on the new, you know, sort of new sales front and the renewal front in terms of the pricing. So again, holding on to margin, in particular, we've seen you know, strong disability experience emerge, and so that's some favorable experience we have coming into our book. But again, on the other side, we've got some pressure on paid family leave that we've talked about two or three quarters in a row, and you saw in the quarter really a nice improvement at 20 improvement on paid family leave really driven by rate that we put into the book. We put double-digit rate increases into that book of business about $260 million. So not a large book, but, you know, we put some nice rate action in there, and persistency held up strong in the high eighties. So very pleased with that outcome.
Andrew Kligerman: And then just as a follow-up, and that was very helpful. Moe, you just mentioned underwriter's market, and that kinda contrasts a little bit with net written premium being up an excellent 10% in the quarter for business insurance overall, and it looks like across, you know, all the different areas, Now, Chris, does your high degree of confidence encompass you know, a pretty robust net written premium growth trajectory? Or could that underwriter's market that Moe is talking about start to start to end up with positive about both. Andrew. Not to cut you off, but I feel positive on both. I feel positive that we could continue to grow and capture market share. Market share with our product sets, with our distribution. While being disciplined, as Moe said, from an underwriting side. And I think the strongest evidence of that is, you know, we're shrinking our comp book right now as we speak. Just because we're not getting the, you know, the rate across the board that we want. But Moe, you don't that. Say that conflicting, do you? No. Not at all. I would say, Andrew, in this marketplace, with how much that we have built and in some places we are I think, subscale to what we wanna be. We certainly the flow continues to be strong. We continue to enjoy really strong partnerships with our distribution. We have one, you know, I think a very rare network of distribution partners that few can match. And we feel those partners wanting to consolidate to fewer markets So we are enjoying that as well. So the growth opportunities that are out there, again, subject to the market holding up, we will take advantage of the flow that we see coming through. And where the rates aren't where they need to be, as I said a minute ago, we'll pull back. And I think that's really what I'm asking you to think about is we can and do believe we can do both. Manage the market and grow. And I think that's what the best underwriters in the market will do over time.
Andrew Kligerman: Awesome. Thank you.
Operator: Our next question comes from Elyse Greenspan from Wells Fargo. Hi. Thanks. Good morning. My first question on the commercial line side, Can you just give provide some color just on where loss trend is across your book. I'm particularly interested if you saw if, you know, you made any changes to your loss trend assumptions in the first quarter.
Christopher J. Swift: Elyse, I would say, you know, we made no changes. Obviously, well-discussed the changes we made in '24 and how that affected the '25 pricing. You could see, you know, what we talked about from an achieved rate. And I think across, you know, the board or achieving pricing ahead of lost cost trends and feel good where we're at. Where we're at right now. Excluding, you know, workers' compensation, which has its, you know, own ecosystem, I think in personal lines, if you well, you asked the BI question, but personal lines has its own. Strong dynamics of getting that, you know, book back to, you know, profitability. So yeah, I feel, you know, feel really good one quarter in. Of how we're executing and feel very confident as I think about the, you know, the next three quarters.
Elyse Greenspan: Thanks. And then my follow-up, is on personal lines. Chris, in response to an earlier question, right, you were talking about the makeup of your book versus, you know, for states that were you know, file and use versus prior approval, which know, to be indicated, you know, when we you know, start to see an impact of the tariffs, that you guys would, you know, go the route of looking to take price to offset that. Is that a decision that you've made, you know, that you go try to take price? Or, you know, any color that you could provide there. As you think about the potential tariff impacts need for price, right, and you guys just about getting back to target margins in the book?
Christopher J. Swift: Yeah. It's, yeah. It's a good question. Obviously, you know, facts and circumstances will present themselves more clearly as far as options, opportunities. I think the nuance I want you to make sure you hear is that we set loss cost trends and picks, you know, at the beginning of the year that we thought were very prudent. Thoughtful, and provided a range of outcomes. And we have, obviously, the ability then to absorb some level of inflationary tariff, you know, type pressure. But beyond that, yeah, I mean, our goal is to keep up with loss cost trends and earn a risk-adjusted an adequate risk return on our capital deployed. So by definition, if we exhaust all other options, we're gonna have to go back in and tweak rates.
Operator: Thank you. Our next question comes from Meyer Shields from KBW. Please go ahead. Your line is open. Hi. It's Jane on from Premier. You for taking my question. Guess just quick follow-up on the macro economy environment that you kind of mentioned in your prepared remarks that you're already taking action to address the impact. I know you mentioned some, like, quick reaction time and things like that. As fast as the cycle time. Anything you wanna add besides that? That you already been taking action? Thank you.
Christopher J. Swift: Yeah. I would say it's targeted action in certain lines you know, primarily the, you know, commercial auto, commercial property line. So that's all I'll say.
Operator: Okay. Got it. And then another follow-up question is on small commercial. Small commercial growth is very strong at 9%, double-digit new business increase. Just curious with the rate decelerating how sustainable you believe this level of new business will be? If we enter a more, like, competitive pricing environment?
Morris Tooker: Yeah. I would say this is Moe. I would say that the small business market is holding up really well. We don't see any signs of outside of workers' compensation. In the admitted space that the pricing environment is changing dramatically. We still see combined ratios for the industry that need improvement. Broadly, in the small business space, we're really optimistic about the way the pricing will hold up and our ability to grow market share.
Christopher J. Swift: Ex workers' comp. Ex workers' comp. Yes. Thank you.
Operator: Okay. Got it. Thank you. Our next question comes from David Matamaden from Evercore ISI.
David Motemaden: I had a question just following up on workers' comp. And I'm just wondering so you spoke about just the pricing pressure on comp across the customer sizes. And how you're shrinking that book now. Could you just elaborate on how much worse the pricing is coming in versus your original expectations for the year? And what was built into your loss fix?
Christopher J. Swift: David, you know, what I would say is it's actually might be, you know, slightly favorable. You know, to what we thought, but still slightly favorable is negative. Compared to, you know, what we planned for in the first quarter. And, you know, we've talked about it before. You know our severity picks. You know, we talk about, you know, generically, you know, frequency, which, you know, generally continues to be positive. But I'd from our expectations and maybe just slightly slightly more positive from a pricing side, Moe, what would you add?
Morris Tooker: No. Okay. I don't think there's anything going on in the marketplace that's surprising us on comp right now. Our retentions are basically on plan across BI. Our rates is, as Chris said, are slightly better than expectations. Our trends are holding up well. The profitability is holding up well. I think it's a competitive market. I wouldn't say that anything you're seeing coming through our numbers is unexpected. Surprising us.
David Motemaden: Okay. Great. Thanks for clarifying that. And then just a follow-up just on business insurance. I was a little surprised we didn't get more expense ratio improvement. Just given how, the growth has been coming in better. I know it takes a little bit for that to earn in, but is that something you think we can see pick up from here, just sort of expense ratio improvement? Just given the growth that you guys have been seeing?
Beth Costello: Hey, David. It's Beth. I think we've, you know, asked answered this question before on the expense ratio that over time, we would expect to see some improvement come through from an operating leverage perspective. But not expecting some dramatic or significant step change. I think it would be gradual. And also, as we've also talked about in the past, we also look very closely at the things that we wanna invest in in our businesses and using those expense dollars appropriately. And that investment is going to help drive our top line, help drive our loss cost, and then ultimately help drive efficiency. So, again, I think it's a longer-term journey relative to the expense ratio. And, overall, I feel very good about where we are today.
David Motemaden: Great. Thank you.
Operator: Our next question comes from Mike Zaremski from BMO. Please go ahead. Your line is open.
Mike Zaremski: Maybe just focusing specifically on the lawsuit kind of social inflation lines of business. I know in the sync-up press release, you talked about liability pricing continuing to rise, which we can kind of tease out with the data you gave us. I also know that you know, Hartford's probably in the minority of picking, some of its embedding some loss picks in there that assume kind of low double-digit inflation as well. Do you feel that we're gonna continue to see pricing kind of move north on that line of business, which could offer some potential growth opportunities for Hartford? Or kind of how are you thinking about the dynamics on the social inflation lines?
Christopher J. Swift: Yeah. I think you're referring to just broad-based casualty lines. You know, which Yeah. I would tell you from a trend side, obviously, you know, we made our adjustments, you know, last year, but there's nothing fundamentally changing. You know, right now from an overall trend side that would change our view that social inflation is gonna continue to be a problem for society. It's gonna continue to tax and constrain innovation in my judgment. And we need, as an industry, to continue to fight and get the necessary reforms in place at the state level. And we had, you know, a good win. The industry had a good win in Georgia. You know, with some of its reforms that, you know, the governor put into place. So we feel good about that. But, you know, overall, Mike, I don't see any changing trends. Do you, Moe?
Morris Tooker: No. I just to build on Chris' point in terms of what we're seeing from a rate perspective and what we're driving from a rate perspective, GL accelerated in the quarter. So that's the primary GL. Umbrella was strong and roughly flat, and then our excess lines and again, admitted and non-admitted continue to be really strong. And the teams are making sure that on all the GL lines and the auto lines, that we are getting rate in excess of trend, and that's a key goal for the year.
Mike Zaremski: Got it. That's helpful. Maybe switching gears a bit to ENS. Feel like you all have been taking a lot of share in E and S for a while. I know it's still a small line of business. But you mentioned 29% growth and a tremendous opportunity, I think, the exact wording used in the prepared remarks. Are you able to kind of unpack how what's is it you know, are you kind of using relationships with, like, programized relationships with some of the big ENS carriers, or is this kind of is there any kind of secret sauce or underlying kind of drivers that's causing the market share taking? Yeah. We do have secret sauce, but I'm not gonna talk about it. So, Moe, what would you say? No. I would break it into two pieces, Mike. One, in small business E and S binding space, I think really the secret sauce is us taking all of the technology and tools that have made us so successful in the retail market into the wholesale market. So that is what we continue to do and we continue to open up locations with the wholesale partners. So we are not open we basically do it by location by location. Location by partner. And I think the growth that you're seeing is not only the flow is strong, but we are continuing to open up locations with new wholesale locations. And so, again, I think the summary in the binding ENS space is we continue to be really optimistic about our growth there. Again, predicated on just we're making it easier for our partners to do business with us relative to peers. In the global specialty space where we think it's just a brokerage play, again, the flow continues to be strong. We grew 12% the quarter in that space, as Chris referenced in his opening remarks. There too, we are a very, very strong construction market and a key partner to the wholesalers. And construction liability primarily. What we are doing in that space is more about building out the other lines in the marine, the nonconstruction casualty lines property, And just because of the partnership we've established on the construction side, I think we can continue to grow share in the brokerage space as well. So we're really optimistic about E and S overall. And the continued growth in that space.
Mike Zaremski: Thank you.
Operator: Our next question comes from Alex Scott from Barclays. Please go ahead. Your line is open.
Alex Scott: One I have for you is on the personal lines business. I mean, it sounded like a bit more focused on growth moving forward. And just wanted to hear about some of the things you're doing, if there's anything specific that you're targeting for us to think about.
Christopher J. Swift: Yeah. I would say, Alex, mean, you know, the first priority remains, you know, the same, you know, getting the overall book back to targeted margins, which we think we're well on track of achieving. By midyear. Particularly in personal auto. Homeowners, I think, has actually performed, you know, very well consistently for a number of, you know, quarters now as a team, you know, keeps pace with the lost cost trends there and elevated, you know, frequency. I think our underlying was sort of in the mid-75ish, which is very, very, you know, strong. Know? But as we sort of alluded to, we are trying to, you know, pivot to growth, you know, particularly as profitability is improved. You know, we do wanna, you know, grow know, our home and auto business. I think we have the platform to do it, which we talked about was Prevail. Prevail's in 44 states right now. Prevail makes up 75% of our new business primarily in the direct channel. And our overall from an overall in-force book prevails now is up to 25%. And the other statistic maybe that we don't talk about that frequently is you know, about 75% of our homeowners book is bundled with auto. Which I think is a high percentage, and we're proud of it. And our sales team, our sales agents, I think, are doing a good job. So I'll look to Melinda to, you know, add any other color at point in time.
Melinda Thompson: Yeah. Thank you. The only thing I would add is that as you know, rate moderates, we certainly expect the pressure on retention to moderate as well, which would lift both premium and policy count growth. And then we've also implemented a number of new business initiatives to stimulate growth as well. So increased marketing spend, both rate and non-rate levers to support that, and then Chris mentioned, the Prevail platform to enable it.
Alex Scott: That's not really helpful. Second question I had is on workers' comp reserves. And so you know, one of the things I've noticed is just your post-COVID accident, your workers' comp reserves, you know, generally just stayed in place while some of the peers have you know, maybe recognized some of the frequency benefits. And so, you know, I get that severity takes longer and maybe there's conservatism there. But I just wanted to understand, like, if like, what's your approach to those reserves? And you know, I get the question sometimes as to whether maybe there's something more problematic there or something like that. And I don't get the feeling that's the case, but I just wanted to sort of dig into that a little and understand the way you all have approached this post-COVID workers' conferences.
Christopher J. Swift: Yeah. Alex, I'll let Beth add her color, but let me just state emphatically. There's no problems. There's nothing problematic. There's nothing you should worry about. And but we feel good about the balance sheet because it's we've worked hard to put the balance sheet in the position that it is today.
Beth Costello: Yeah. I would echo what Chris just said. You know, we are given just the nature of that line of business. We are cautious just to see those reserves season. And, you know, take the appropriate action you know, when we feel comfortable. So the releases that we did this quarter know, were 2020 and prior. We look at our reserves every quarter, and, you know, evaluate anything that, we might need to adjust. But, again, those as you know, those reserves stay on the balance sheet for a long period of time. And, we just wanna be cautious as we think about the more recent years.
Alex Scott: Yep. Totally get it. Thank you.
Operator: Our next question comes from Rob Cox from Goldman Sachs. Please go ahead. Your line is open. Hey, thanks for taking my question. Just thinking about the investment portfolio, I appreciate the commentary for variable rate decreases to offset higher investment yields. Could you give us a sense of the fixed versus floating breakdown in your invested portfolio?
Beth Costello: Sure. So our, you know, variable our that will be exposed to variable rates are about $6 billion. So think about that as roughly 10%. I would say that if we looked at that over the last couple of years, that's come down a bit. But that's the relative magnitude.
Rob Cox: Okay. Awesome. That's very helpful. And then I just wanted to ask a follow-up on competition in small commercial. Clearly, you all have some competitive advantages in that space, but I just wonder if there any noticeable difference with some of your larger peers getting more interested in the market and just the competitive dynamics? Yeah. I think a lot of people are interested in it, but you know, interest doesn't translate to execution, doesn't translate to history and experience. And know-how. So but it yeah. It's still a competitive market that there's a lot of good competitors, Moe, but we we've been able to be distinctive, you know, for many, many years.
Morris Tooker: Yeah. And I just the only thing I would say, Rob, to build on Chris' comment is the level of investment that we continue to put in every year into the technology, the tools, the agent, the customer experience, it's really hard to replicate. And so once you get that advantage and you keep investing, we expect that advantage to continue for a very long time.
Rob Cox: Awesome. Thank you.
Operator: Our last question today will come from Josh Shanker from Bank of America. Please go ahead. Your line is open.
Joshua Shanker: Thank you very much for fitting me in. Couple questions about agent receptivity on the homeowners product or is it the Homeland Auto product for that matter? Given your great relationships on the commercial side? Is the pickup swift? Or is it a work in progress?
Christopher J. Swift: Josh, I'm not even gonna respond to that baiting. So, yeah, I would unintentional. Yeah. No. Okay. Very good. I would say, yeah, we're pleased. With the agent channel as it exists today. We've seen nice growth on a bundled basis primarily. And we are turning back on broad-based, you know, relationships you know, that might have been a little dormant, a little it's just dormant. So, yeah, I'm encouraged. About that, and I'm just gonna ask Melinda to add her own color because she's the principal architect of getting back into the agency side of the business in a more meaningful way.
Melinda Thompson: Yeah. Couple of things I would offer. Certainly, we have had an opportunity as profitability has come back online to reengage agents, and there's been a fair amount of marketplace disruption. And so those two things in combination with The Hartford Financial Services Group, Inc.'s retail brand are certainly an opportunity and a strategic advantage. So we're excited about what we've been able to do and the growth that we're on a relatively small base today. And then as we think about, you know, a broader pivot there is an opportunity to capitalize on our new platform. We look at Prevail, and it brings with it you know, an exceptional product, a platform, and customer experiences. That we do believe can be leveraged more broadly. So if you think about the segmentation, and the transferable capabilities coming to the agency channel over time, we think that that is an opportunity, and we've earned the right to compete more meaningfully in personal lines in the channel.
Christopher J. Swift: So that really, means Josh, is we have some pilots that begin in two states really in the second half of the year, and we'll see how all that goes and keep you posted.
Joshua Shanker: And given that policy count in home is growing as auto continues to decline. But that will hopefully will stop. Is there any risk in writing monoline home? Is that an attractive product?
Christopher J. Swift: It's not our preferred approach. It happens, but it doesn't happen very frequently.
Melinda Thompson: Yeah. Again, as Chris shared, the vast majority of our business is written on a bundled basis in the home, in the direct space and at a growing percentage of our agency business as well. I would say that our homeowners business is performed very well. We're very thoughtful about our growth. And how we think about it on a state basis. So we look at you know, how we want to grow home when we do so, and our track record is very strong. We generated a combined ratio in the low nineties over a long period of time to the last decade or so, and that compares very favorably to the industry.
Joshua Shanker: You very much for taking my question. Have a great day.
Operator: We have no further questions in queue. I'll turn the call back over to Kate Dorans for closing remarks.
Susan Spivak Bernstein: Thank you all so much for joining us today. Please feel free to reach out with any additional questions, and have a nice day.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.